Operator: Thank you all, and welcome to Banner Corporation Second Quarter 2022 Conference Call and Webcast. My name is Brika, and I'll be today's event specialist. [Operator Instructions] Your host for today's call will be Mark Grescovich, President and CEO for Banner Corporation. So Mark, please go ahead when you're ready.
Mark Grescovich: Thank you, Brika, and good morning, everyone. I would also like to welcome you to the second quarter 2022 earnings call for Banner Corporation. As is customary, joining me on the call today is Peter Conner, our Chief Financial Officer; Jill Rice, our Chief Credit Officer; and Rich Arnold, our Head of Investor Relations. Rich, would you please read our forward-looking safe harbor statement?
Rich Arnold: Sure, Mark. Good morning. Our presentation today discusses Banner's business outlook and will include forward-looking statements. Those statements include descriptions of management's plans, objectives or goals for future operations, products or services, forecast of financial or other performance measures and statements about Banner's general outlook for economic and other conditions. We also may make other forward-looking statements in the question-and-answer period following management's discussion. These forward-looking statements are subject to a number of risks and uncertainties, and actual results may differ materially from those discussed today. Information on the risk factors that could cause actual results to differ are available from the earnings press release that was released yesterday and a recently filed Form 10-Q for the quarter ended March 31, 2022. Forward-looking statements are effective only as of the date they are made, and Banner assumes no obligation to update information concerning its expectations. Mark?
Mark Grescovich: Thank you, Rich. Today, we will cover four primary items with you. First, I will provide you high-level comments on Banner's second quarter performance. Second, the actions Banner continues to take to support all of our stakeholders including our Banner team, our clients, our communities and our shareholders. Third, Jill Rice will provide comments on the current status of our loan portfolio. And finally, Peter Conner will provide more detail on our operating performance for the quarter and an update on our strategic initiative called Banner Forward. As a reminder, the focus of Banner Forward is to accelerate growth in commercial banking, deepen relationships with retail clients, advanced technology strategies and streamline our back office. I want to begin by thanking all of my 2,000 colleagues in our company that have helped develop Banner Forward and are working extremely hard to assist our clients and communities. Banner has lived our core values, summed up as doing the right thing for 131 years. Our overarching goal is to do the right thing for our clients, our communities, our colleagues, our company and our shareholders to provide a consistent and reliable source of commerce and capital through all economic cycles and change events. I am pleased to report that is exactly what we continue to do. I'm very proud of the entire Banner team that are living our core values. Now let me turn to an overview of our performance. As announced, Banner Corporation reported a net profit available to common shareholders of $48 million or $1.39 per diluted share for the quarter ended June 30, 2022. This compared to a net profit to common shareholders of $1.56 per share for the second quarter of 2021 and $1.27 per share for the first quarter of 2022. The earnings comparison is impacted by the provision or recapture for credit losses; excess liquidity, coupled with a rapid change in interest rate; our strategy to maintain a moderate risk profile; continued good mortgage banking revenue; a gain on the sale of four branches; and the acceleration of deferred loan fee income associated with the SBA loan forgiveness of Paycheck Protection loans. Peter will discuss these items in more detail shortly. Directing your attention to pre-tax pre-provision earnings and excluding the impact of merger and acquisition expenses, COVID expenses, gains and losses on the sale of securities, Banner Forward expenses, changes in fair value of financial instruments and the gain on the sale of branches, earnings were $57.8 million for the second quarter of 2022 compared to $49.7 million for the first quarter of 2022. This measure, I believe, is helpful for illustrating the core earnings power of Banner. Banner's second quarter 2022 revenue from core operations increased 8% to $148.3 million compared to $137.6 million for the first quarter of 2022 and down slightly compared to the second quarter a year ago. We continue to benefit from a larger earning asset mix and improving net interest margin, solid mortgage banking fee revenue and good core expense control. Overall, this resulted in a return on average assets of 1.16% for the second quarter of 2022. Once again, our core performance reflects continued execution on our super community bank strategy, that is growing new client relationships, adding to our core funding position by growing core deposits and promoting client loyalty and advocacy through our responsive service model. To that point, our core deposits increased 5% compared to June 30, 2021 and represent 95% of total deposits. Further, we continued our strong organic generation of new client relationships and our loans outside of PP loans increased 5% over the same period last year. Reflective of the solid performance, coupled with our strong tangible common equity ratio, we announced a core dividend in the quarter of $0.44 per share. Our branches continue to be fully operational, and we have reinstated our return to the workplace policies. To provide support for our clients through this crisis, we made available several assistance programs. Banner has provided SBA payroll protection funds totaling more than $1.6 billion for approximately 13,000 clients. Also, we made an important $1.5 million commitment to support minority-owned businesses in our footprint; a $1 million equity investment in City First Bank, the largest black-led depository financial institution in the United States; significant contributions to local and regional nonprofits; and have provided financial support for emergency and basic needs in our footprint. Finally, we continue to receive marketplace recognition and validation of our business model and our value proposition. J.D. Power and Associates ranked Banner the #1 bank in the Northwest for client satisfaction for the sixth time. Banner has been named one of America's 100 Best Banks by Forbes and Banner Bank has received an outstanding CRA rating. Let me now turn the call over to Jill to discuss trends in our loan portfolio and her comments on Banner's credit quality. Jill?
Jill Rice: Thank you, Mark, and good morning, everyone. I am pleased to be able to report solid credit metrics this morning once again. Banner's delinquent loans as of June 30 remained nominal at 0.19% of total loans, down from 0.21% when compared to the prior quarter and down from 0.24% as of June 30, 2021. Adversely classified loans represent 1.63% of total loans, down from 1.95% as of the linked quarter and compared to 2.83% as of June 30, 2021. Nonperforming assets remained low at $19.1 million and include nonperforming loans of $18.7 million and REO and other assets of $357,000. This represents 0.12% of total assets and compares to 0.19% as of June 30, 2021. Due to strong loan growth in the quarter, and coupled with the increasing economic uncertainty as we look to the balance of 2022 and into 2023, we posted a $3.1 million provision for loan losses as well as an additional $1.4 million provision for unfunded commitments. Losses in the quarter were again offset by recoveries and after the provision, our ACL reserve totaled $128.7 million or 1.36% of total loans as of June 30, down one basis point from the linked quarter and compares to a reserve of 1.53% as of June 30, 2021. The reserve currently provides 688% coverage of our nonperforming loans. Looking at the loan portfolio, we again reported strong loan originations with solid growth across many of the business lines this quarter. We reported core portfolio loan growth, excluding PPP loans of $338 million or 3.7% for the quarter and 14.9% on an annualized basis. If we exclude the growth in the one to four family portfolio, the annualized growth rate remained strong at 8.3%. And I will note that this loan growth was not the result of loosening underwriting standards. Further, our commercial and commercial real estate pipelines remain healthy, although as would be expected, there has been a recent slowdown in activity as clients react to the increasing interest rate environment. Looking at specific product lines, C&I activity remained robust in the second quarter. Commercial loans, excluding PPP, grew by nearly 9% or $94 million in the quarter, which is an annualized rate of 35% and balances are now 5% higher than reported as of June 2021. Additionally, there was strong growth in the small business scored portfolio, up 6% or $49 million due to the successful small business campaign that rolled out in the second quarter. Balances are 16% higher than that reported a year ago. It is also worth mentioning that while overall C&I utilization inched up 1% in the quarter, it remains 6% below historical norms. A review of the new volumes reflected that exposures continue to be modest in size and continue to be diversified by industry as well as across our footprint. As noted last quarter, commercial real estate totals continue to be hindered by payoffs despite solid originations and are down $41 million in the quarter or 1%, 4% annualized. The investor CRE portfolio reduced by $43 million quarter-over-quarter and the owner-occupied CRE portfolio declined by another $28 million in the quarter. The payoffs during the quarter totaled nearly $90 million within the investor and owner-occupied CRE portfolios. These reductions were offset in part by an increase in small balance CRE total of $30 million, also the result of the successful small business campaign during the quarter. The multifamily portfolio reduced by 4% quarter-over-quarter, but is up 23% when compared to June 30, 2021. This portfolio was split approximately 55% affordable housing and 45% market rate and remains granular in exposure and geographically diversified within our footprint. Construction and development loan balances continued to reflect strong production even as we continue to experience rapid payoffs within the residential spec portfolio as construction is completed. Commercial construction balances grew by $14 million or 8% in the quarter and one to four family construction loans grew by $43 million or 7% in the quarter. This was in part offset by reductions in the multifamily construction portfolio of $17 million or 6% quarter-over-quarter. Slightly over half of this reduction was due to a single anticipated secondary market refinance at completion. I will reiterate what I noted last quarter. We do expect that the increasing mortgage rates will have an impact on the velocity of home sales within our residential spec portfolio, although we have not seen that materialize to date. The housing markets in which we do business continue to be supply constrained with the inventory of completed and unsold homes remaining low. Consistent with prior periods, our total residential construction exposure remains acceptable at 6.6% of the portfolio with nearly 40% of that comprised of our custom on one to four family residential mortgage loan portfolio. When you include multifamily commercial construction and land, the total construction exposure remains at 14.8% of total loans. As anticipated, agricultural loan reflects the seasonal draws on lines of credit with balances of $38 million quarter-over-quarter or 16% and are up 17.5% year-over-year, excluding PPP loans. As I noted -- as was noted in the earnings release, there was significant growth in the consumer mortgage portfolio. This was the result of a successful jumbo mortgage campaign in the second quarter as well as holding a portion of the completed custom construction mortgage loans in an effort to rebuild balances that ran off during 2021 and earlier this year. In total, balances grew by $150 million or 21% quarter-over-quarter and are now up 42% year-over-year. Lastly, home equity lines again added materially to the loan growth in the quarter, up $36 million or 8% from the linked quarter. Very briefly, touching on asset quality, adversely classified loans continued to decline, reducing $24 million in the quarter and are down $118 million or 43% year-over-year. Overall, adversely classified loans are down 64% since the pandemic-induced high reported in September of 2020. With that, I will wrap up my comments, noting that the uncertain economic environment has only gotten more pessimistic over the past few months. Still, Banner's credit culture is one that is designed for success through all business cycles. Our underwriting has remained consistent even through the last extended economic expansion. Our loan portfolio continues to be diversified by both product type and geography and is granular in nature. We continue to have a solid reserve for loan losses and robust capital. And most importantly, our clients have continued to perform well as reflected in our credit metrics. In short, we are well positioned to move through the next phase of this economic cycle. With that, I'll turn the microphone over to Peter for his comments. Peter?
Peter Conner: Thank you, Jill, and good morning, everyone. As discussed previously and as announced in our earnings release, we reported net income of $48 million or $1.39 per diluted share for the second quarter compared to $44 million or $1.27 per diluted share for the first quarter. The $0.12 increase in earnings per share was due to an increase in net interest income and noninterest income, partially offset by provision expense this quarter. Core revenue, excluding gains and losses on securities, changes in fair value of financial instruments carried at fair value, and gains on the sale of sold branches increased $10.7 million from the prior quarter due to an increase in net interest income. Core noninterest expenses, which exclude Banner Forward, debt extinguishment and M&A-related expenses increased $2.5 million due to higher compensation, fraud losses and professional services expense. Turning to the balance sheet. Total loans increased $315 million from the prior quarter end as a result of increases in held-for-portfolio loans, partially offset by a $28 million decline in PPP loans. Excluding PPP loans and held-for-sale loans, portfolio loans increased $338 million and 14.9% on an annualized basis. One-to-four family real estate loans grew $150 million in the current quarter as a result of redirecting a portion of residential custom construction loans previously earmarked for sale at completion on the portfolio with an increase in jumbo mortgage production. We anticipate a similar pace of one to four mortgage loans held for investment growth in the coming quarter. Ending core deposits decreased $267 million from the prior quarter end as a result of the sale of four branches that closed in late June, accounting for $170 million of decrease. The remaining decrease in deposits reflects a combination of seasonal outflows associated with tax payments, along with exits of rate-sensitive deposit balances seeking higher yields. Time deposit balances declined $44 million from the prior quarter end, of which $8 million were due to the aforementioned branch sale and the remaining $36 million decline driven by higher cost CDs continuing to roll over at lower retention rates. Net interest income increased by $10.4 million from the prior quarter due to an expansion of the net interest margin, coupled with growth in average loan outstandings and lower balances of lower-yielding overnight interest-bearing cash. Compared to the prior quarter, loan yields increased four basis points due to increases in floating and adjustable rate loans, partially offset by a decline in PPP loan forgiveness processing fees. Excluding the impact of PPP loan forgiveness, prepayment penalties, interest recoveries and acquired loan accretion, the average loan coupon increased 11 basis points from the prior quarter due to increases in floating and adjustable rate loans. Total average interest-bearing cash and investment balances declined $275 million from the prior quarter, while the average yield on the combined cash and investment balances increased 46 basis points due to a lower mix of overnight funds and higher yields on both the securities portfolio and overnight funds, driven by higher rates -- higher market rates. Total cost of funds declined one basis point to 11 basis points as a result of lower borrowing costs. The total cost of deposits remained flat at six basis points in the second quarter as the bank did not raise posted deposit rates during the quarter, while borrowing costs declined due to the payoff of a higher cost FHLB advance in the prior quarter. The ratio of core deposits to total deposits was 95% in the second quarter, the same as the previous quarter. The net interest margin increased 26 basis points to 3.44% on a tax equivalent basis. The increase was driven by higher yields on securities, overnight cash and loans, coupled with a larger mix of loans and a lower mix of overnight cash within the earning asset base. In the third quarter, we anticipate a commensurate pace of margin expansion followed by a slowdown in future quarters as price-sensitive deposits move up balance sheet, loan growth continues, overnight cash levels decline and deposit rates accelerate. Excess overnight cash is anticipated to decline at a more accelerated pace in coming quarters to fund both continued loan growth and deposit outflows. Total noninterest income increased $7.7 million from the prior quarter. The current quarter benefited from a $7.8 million gain on the sale of four branches. Core noninterest income, excluding gains on the sale of securities, gain on the sale of branches and changes in investments carried at fair value increased $325,000. Total deposit fees are flat while mortgage banking income declined $500,000 due to declining refinance activity and lower gain on sales spreads. While overall residential mortgage production increased 16% from the prior quarter, a larger share of production was directed on balance sheet, while production held-for-sale declined 43% from the prior quarter. Despite the large decline in held-for-sale production, residential mortgage gain on sale declined only modestly by 10%, thanks to pipeline hedging gains during the quarter. Within residential mortgage production, the percentage of refinance volume declined as a function of rising rates, dropping to 18% of total production, down from 36% in the prior quarter. Multifamily loan production and gain on sale premiums remain muted due to the steepening of the yield curve and decline in refinance activity. Miscellaneous fee income increased $368,000 due to increased swap fee income and a loss on the sale of former branch facilities in the previous quarter. Total noninterest expense increased $858,000 from the prior quarter, primarily due to higher compensation costs, professional fees and fraud losses, while Banner Forward implementation costs declined $900,000 to $1.6 million in the current quarter. Excluding Banner Forward, debt extinguishment and M&A, core noninterest expense increased $2.5 million. Compensation expense increased by $1.3 million due to increases in salaries due to annual merit increases, along with increased production-related commission and bonus expense, partially offset by a decline in severance expense from the prior quarter. Check team-related fraud losses increased $1 million, reflected in the payment and card processing expense line item while professional services increased due to a combination of volume-driven outside contract client servicing activity and various legal expense items from the prior quarter related to lending, governance and settlement activities. In addition, as part of ongoing capital management, the company repurchased 200,000 shares during the quarter. I'm pleased to report that Banner Forward remains on track. We just completed the fourth consecutive quarter of implementation and approximately 71% of the initiatives from a program value perspective have been executed and are reflected in the current quarter run rate with the majority of the efficiency initiatives in place and revenue initiatives beginning to generate benefits in the form of accelerated loan growth and fee income generation. Due to the impact of wage inflation and sustained levels of core inflation, we are adjusting our core expense quarterly run rate guidance up modestly to run between the high 80s and low $90 million range. However, our expectations for improved operating leverage and lower core efficiency ratio remained strong as inflationary pressure on a reduced expense base is being more than offset by rate driven expansion in the bank's net interest margin. In closing, the company is benefiting from rising rates as evidenced by significant margin expansion this quarter, stable low-cost core deposit base and strong diversified loan growth. This concludes my prepared remarks. Mark?
Mark Grescovich: Thank you, Peter and Jill, for your comments. That concludes our prepared remarks today. And Brika, we will now open the call and welcome your questions.
Operator: [Operator Instructions] We have the first question on the phone line from Andrew Liesch of Piper Sandler. Andrew, your line is open.
Andrew Liesch: Thanks. Good morning, everyone.
Mark Grescovich: Good morning, Andrew.
Andrew Liesch: Just want to touch on the loan growth outlook here. It sounds like you had a couple of campaigns going on in the second quarter on the small business side and residential mortgage side. Have those ended? Are those continuing? Just kind of curious about the pace and the mix of the growth going forward.
Jill Rice: They are continuing, anticipated to end this month. So a little bit pulling into this quarter.
Andrew Liesch: Got you. And I guess, what was the impetus to start these? It seems like they've been a pretty decent driver of growth.
Jill Rice: Part of the Banner Forward initiative is to just expand the growth in all of the business lines, whether it's business banking or moving upstream, and so this was just one of the Banner Forward initiatives.
Andrew Liesch: Got it. All right. That's helpful. And then on the -- just on the provisioning. I mean that came in a little bit higher than I was expecting. So just looking at the $2.1 million for loan losses, I mean how are you guys viewing the reserve ratio going forward? Do you think that's going to continue to build? Do you think you're going to continue to add to the provision around this level just given macroeconomic concerns?
Jill Rice: So you hit on the things that are going to drive it there, Andrew. So provisioning is really -- it's a function of the loan growth, it's a function of the economic conditions and our asset quality, and that's been our message all along. We would return to provisioning with loan growth, which we had. And then my standard line, we don't give guidance as to where we're actually going to have our reserve at, but given the increasing economic uncertainty as we look into 2023, you can expect that we'll continue to be on the conservative side with regards to our level of reserve.
Andrew Liesch: Got it. And then one -- just one last question. On the size of the securities portfolio, what's the plan -- any plans to grow it or use cash flows from that to also fund loan growth and deposit outflows?
Peter Conner: Yes, Andrew, it's Peter. We're basically at an inflection point with respect to the securities portfolio, where we would anticipate going forward, we're going to deploy our excess liquidity into loan growth and funding some deposit runoff or the price-sensitive deposits -- depositors rather than increase in the securities book much more beyond this point that we had in the second quarter.
Andrew Liesch: Got you. All right, well thank you for taking the questions. I'll step back.
Mark Grescovich: Thank you, Andrew.
Operator: Thank you. The next question from the phone lines comes from Jeff Rulis of D.A. Davidson. Please go ahead when you're ready.
Jeff Rulis: Thanks, good morning.
Mark Grescovich: Good morning, Jeff.
Jeff Rulis: Wanted to follow up on just sort of the deposit runoff behavior. You noted the branch sale impact and some seasonal influence, but more focusing on that rate-sensitive group and the -- your thoughts on the ultimate amount of folks in your deposit base that would chase that rate and your reaction to obviously holding core relationships, but just getting a sense for do you think that continues? And have we worked through some of maybe the fluff or the rate-chasers, and now you kind of hold the line with the rest of the group. Any thoughts on deposit behavior would be great.
Peter Conner: Yes, Jeff, it's Peter. We -- as we discussed in the past, our deposit base is -- benefits from the fact that it's granular. It's diversified geographically. It's diversified across business line segments. A large portion of our deposit base are operating accounts for businesses that have less price sensitivity. And so I guess two sentiments here. One is a lot of the price-sensitive deposits left in the last rate cycle, right? Because Banner, we didn't match and didn't chase rates last -- in the last rate cycle. And we never posted -- we never didn't have any deposit campaigns in the interim period. And so we think we have a lot of resiliency built into our deposit base given their behavior in the past. That said, there will be some outflows for certain clients seeking higher rates, but we think that's a relatively small portion. And you won't see Banner leading with deposit rates specials or campaigns. We tend to price in that 40th percentile of our peer group over time in terms of posted rates. So we think we're in a pretty good position. That being said, there will be some modest amount of deposit runoff that we're willing to look out for rate, but we don't think it's going to be a large number.
Jeff Rulis: Okay. Great. Thanks. Was there a loan balance that went through on the branch sales as well?
Peter Conner: No. It was a deposit only. We retained all of the loans with that sale.
Jeff Rulis: Got it. Okay. And I guess just into the loan growth expectations, Jill or Peter, I think, Peter, you mentioned expectations for one to four family to have some continued momentum and as these small business and resi mortgage campaigns continue on through the end of the month, balancing that with rate increases and impacted customers, just a little more thought on the loan growth outlook. I know outside of guidance, but just your thoughts on second half type growth in the loan portfolio.
Jill Rice: So I'll start and then if Peter wants to chime in as well. I guess I'll start by saying that we would expect over the second half of the year to maintain what we've been guiding to and that's that high single digits. Utilization rates are still affected, obviously, by the excess liquidity in the system, and we did see a little bit of a pullback right at the end of the quarter in activity with that hike in interest rates as borrowers become cautious and watch to see what happens. But the positives still are there, Jeff, located in markets with strong economic engine business model that's working strongly on origination and our utilization rates that have significant upside potential, our construction and AMD portfolio is off about 10% this quarter. Those will continue to fund up through the balance of the year. Ag picked back up, as I talked about. We have good commercial and commercial real estate pipeline. So all of the things indicate that we should hit our target even with the caution in the wind with the economic environment.
Jeff Rulis: That's great. And Mark, maybe just a last one just on some pessimism out there and some price volatility, but any thoughts about M&A discussions and your appetite?
Mark Grescovich: Thanks, Jeff, for the question. And it's a good question. As you're seeing, obviously, there's been a slowdown in M&A activity certainly in the financial sector space. But that can be temporary. It's the normal course of the cycle with the pullback in valuations, some uncertainty with the economic climate and what you're really getting in terms of credit -- potential credit exposure, if you're on the acquisition side. But those -- that's never been Banner's philosophy to be in and out of the market. Our philosophy has always been to foster relationships, enter into negotiated transaction, have that relationship with the Board of Directors of potential partners, the CEO of potential partners and the executive team. And then when the timing is right, should there be an opportunity, we would do a combination. So the dialogue continues. The relationships continue to progress, and it's a matter of market timing before certain companies believe that it's time to enter into a combination with Banner.
Jeff Rulis: Thanks Mark.
Mark Grescovich: Thank you, Jeff.
Operator: Thank you. We now have a question from Tim Coffey of Janney. Please go ahead when you're ready. I've opened your line.
Tim Coffey: Great. Thank you. Good morning, everybody. Thanks for the questions. I had a question about Banner Forward. And as you're kind of starting to get to the tail end of this project, I'm wondering how should we start thinking about kind of the revenue opportunities from this project? I mean, clearly, you're doing a couple of loan programs already. But as we get forward on this, no pun intended, how should we think about that?
Peter Conner: Yes. Tim, it's Peter. Yes, the -- our guidance on kind of the trajectory and sequencing of Banner Forward hasn't changed. We anticipate the revenue initiatives within Banner Forward and are beginning to generate value in the second quarter will continue as we go out into Q3, Q4 and beyond in the form of sustained loan growth. So the whole notion is around the loan growth initiatives is to develop a sustained level of loan growth through the business lines that generate loan production over time. So it's not a big bang where we have one campaign and we're done. The real focus is a permanent and long lasting improvement in loan production and productivity across those functions that will benefit over time, the pace of loan outstandings growth. And then with respect to fee income, we began implementing some of the fee income programs in the late in the second quarter. And we'll begin to see those bear more fruit in the coming quarters as we get a full quarter benefit of those fee increase -- those fee programs. And there's some additional fee income initiatives will be coming online late this year and into the first half of '23. That will improve the core fee income line as well. So we haven't changed our guidance, and there's still upside on the revenue -- pace of revenue growth in those areas that has yet to be recognized in our performance.
Tim Coffey: Okay. And if I could just follow up there. If we just talk about the loan growth, the sustained loan growth over time. The way to think about that, it would take the Fed to the target from the high single digits to maybe the low double digits for the total third quarter?
Peter Conner: Yes, I think the thing to keep in mind is to adjust for the -- we -- as Jill mentioned in her remarks, the one to four mortgage growth this quarter and what we expect that next quarter is not something that we would expect to continue over the long run. However, that upper single-digit pace of loan growth is something that we would continue to perpetuate going forward ex the mortgage growth we saw this quarter. So that's really the focus is to sustain that upper single-digit loan growth over time in a diversified conservative credit risk manner that Banner has always operated in.
Tim Coffey: Okay. So perhaps a good way to think about it is that you can sustain growth through individual vertical volatility there?
Peter Conner: Yes, that's fair.
Tim Coffey: Okay. Okay. And then, Jill, just a question about the current state of just underwriting and portfolio maintenance. Has anything changed there? And not to suggest that credit quality is not improving because it is, but given the heightened economic uncertainty, have you started to kind of adjust or the underwriting or more frequent analysis of the portfolio?
Jill Rice: We really haven't because we've maintained a very conservative portfolio management through since the last great recession. We are looking at our -- watching worse credits on an ongoing basis. We stress our portfolio on multiple fronts from originations throughout the cycle. And so the bank looks at underwriting rates and changes those as rates rise so that we're looking forward into an increasing rate environment as well, and that's always been our practice. The idea of underwriting here is that more consistent through all cycles, so people know that they can count on us through all cycles. And so you don't want to change the way you're looking at any one business line very materially at any given time.
Tim Coffey: Okay. All right. Great. Those are my questions. Thank you very much.
Mark Grescovich: Thanks Tim.
Operator: Thank you, Tim. [Operator Instructions] We now have a question on the line from Kelly Motta with KBW. Please go ahead when you're ready.
Kelly Motta: Hi, good morning. Thanks for the question. I apologize if this is repetitive. I got disconnected during the prepared remarks. But you mentioned your willingness to let some higher rate deposits go in the prepared remarks. And at Banner, you guys have really good core deposits. I wouldn't imagine there's quite a bit of that, but I was hoping you could maybe ring fence the amount of deposits you would be -- you consider more transactional and would be willing to let go?
Peter Conner: Kelly, it's Peter. Yes. As we mentioned earlier, we feel really good about our core deposit base and our clients and their -- and the sticky nature of our core deposit base as has benefited -- as evidenced by the last tightening cycle in '17 and '18. So a lot of that pricing sort of clients that would have left in the last cycle because Banner didn't chase rates for deposit growth last time. There are a small -- there's a small amount of balance that is rate-sensitive that we expect to move off the balance sheet as rates go higher. But for the most part, we think that's a fairly small and limited number. And we're not going to chase rates this time either. And we anticipate the bulk of our deposit base is relatively granular. A lot of it's operating accounts for businesses that really aren't -- they're here for rates, they're here for service and product and not there to seek higher yields. So while we will see deposit betas grow and increase at Banner, we're not going to be top of the market in any of our products in terms of rate nor -- but nor do we expect a large outflow of deposit balances, but we will see some modest outflow. But I'm not going to -- I can't give you a precise number, but I would anticipate some continuing reductions in our deposit balances due to rate as we go through the next several quarters.
Kelly Motta: Got it. Thank you for all the color. And then on expenses, they came in a little higher than what you had guided for the past quarter of like the mid to high 80s. I was wondering if that was a function of the branch closures being end of the quarter weighted or if there's greater pressure being seen inflationary pressures and how to think about that as we look forward and balance out with the savings from Banner Forward?
Peter Conner: Yes. We didn't get the benefit of the branch consolidation this quarter because they were all -- or branch sales, they're all sold at the end of June. So we expect the benefit of that sale to manifest itself on a full quarter basis in Q3. And there's some other initiatives related to occupancy that will take effect in Q3 as well. That being said, we are seeing wage inflation pressures. And when we announced Banner Forward, wages were going up in the mid-2% range annually. Today, in the market, they're going up in the 5% range. And so we are seeing some wage inflation pressures that are offsetting some of the original guidance around that, the mid to high $80 million number that are offsetting some of the saves we've got in the pipeline. So our guidance is more of a neutral high 80s to low 90s core expense run rate. We do have some other -- we expect as we go into '23 and beyond, as we've said, a portion of our expense saves are being reinvested in technology and workflow automation across our support and loan origination areas that will generate scalability benefits as Banner continues to grow both organically and through M&A over the long run. So we're not trying to create a temporary skinning of expense and at the cost of not having scale. So we are intentionally harvesting some of those expense gains into investments in technology and workflow process automation that will benefit the company over the long run. But we are -- we calibrated very modestly up our guidance given the wage inflation and core inflation pressures from our vendors as well that are beginning to show up in certain areas.
Kelly Motta: Understood. Thanks. Maybe one last one for me is just wondering about your repurchase appetite. I saw you had a bit of repurchases during the quarter.
Peter Conner: Yes. We -- our guidance hasn't changed there. We remain opportunistic in terms of capital deployment. And so again, it's an opportunistic decision quarter-to-quarter. We are seeing expanded loan growth now. So we need to continue to retain capital to support loan growth. We are -- TC is not a measure that we manage to explicitly, but we are -- we do pay attention to it, albeit our regulatory capital ratios remain very strong. And so it will be a quarter-to-quarter decision, and our appetite hasn't changed over the long run that share repurchases remain an important and useful tool for capital plan. But we don't have any strong expectations or guidance in terms of the pace of share repurchases other than it would be an opportunistic decision quarter-to-quarter going forward.
Kelly Motta: Got it. Thank you so much for the time. I really appreciate it.
Mark Grescovich: Thank you, Kelly.
Operator: Thank you, Kelly. [Operator Instructions] We have had no further questions registered. So I'd like to hand it back to Mark for some closing.
Mark Grescovich: Thank you, Brika. As I've stated, we're very proud of the Banner team and our second quarter performance. Thank you all for your interest in Banner and joining us on our call today. We look forward to reporting our results to you again in the future. Have a wonderful day, everyone. Bye now.
Operator: Thank you all. That does conclude today's call. Thank you again for joining. You may now disconnect your lines.